Operator: Good afternoon and welcome to INNOVATE Corp's Fourth Quarter and Full Year 2024 Earnings Conference Call. All participants will be in listen-only mode. After prepared remarks and presentation, there will be a question-and-answer session. Please note this event is being recorded. I would now like to turn the call over to Neel Sikka with Investor Relations. Please go ahead, Neel.
Neel Sikka: Good afternoon. Thank you for being with us to review INNOVATE's fourth quarter and full year 2024 earnings results. We are joined today by Paul Voigt, INNOVATE's Interim CEO; and Mike Sena, INNOVATE's CFO. We have posted our earnings release and our slide presentation on our website at innovatecorp.com. We will begin our call with prepared remarks to be followed by a Q&A session. This call is also being simulcast and will be archived on our website. During this call, management may make certain statements and assumptions which are not historical facts, will be forward-looking and are being made pursuant to the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. Any such forward-looking statements involve risks, assumptions and uncertainties and are subject to certain assumptions and risk factors that could cause INNOVATE's actual results to differ materially from these forward-looking statements. The risk factors that could cause these differences are more fully discussed in the cautionary statement that is included in our earnings release and the slide presentation and further detailed in our 10-K and other filings with the SEC. In addition, the forward-looking statements included in this conference call are only made as of the date of this call and are stated in our SEC reports. INNOVATE disclaims any intent or obligation to update or revise these forward-looking statements, except as expressly required by law. Management will also refer to certain non-GAAP financial measures such as adjusted EBITDA. We believe that these measures provide useful supplemental data that, while not a substitute for GAAP measures, allow for greater transparency in the review of our financial and operational performance. At this point, it's my pleasure to turn things over to Paul Voigt.
Paul Voigt: Good afternoon. We are pleased to report our fourth quarter and full year 2024 financial results and we'll provide you an update on key milestones reach that showcase the progress across each business segment. INNOVATE delivered consolidated revenue of $236.6 million and adjusted EBITDA of $15 million in the fourth quarter of 2024. For the full year 2024, INNOVATE delivered consolidated revenues of $1.1 billion and adjusted EBITDA of $71.3 million. Our main objective for 2025 is to address our capital structure and the near-term maturities of our debt obligations. We're making progress on our strategic objectives and our businesses continue to hit important milestones. We continue to believe that we have valuable assets that appreciate in value each day. Our focus is to leverage one or more of these assets prior to reaching the debt maturities in order to achieve sustainable capital structure that allows us to realize the full value of the remaining business. As we turn our attention to our operating segments, starting with Life Sciences, MediBeacon is thrilled to have received FDA approval for its transdermal GFR systems to assess kidney function. As many of you know, this has been something the team has been working towards for quite some time and we are very excited to have achieved this milestone. The FDA's approval of the TGFR indicates that MediBeacon's unique system offers an effective solution for evaluating kidney functions in patients with normal or impaired renal function. The potential applications for TGFR are numerous and MediBeacon looks forward to exploring them with clinicians, both in the hospital and outpatient settings. Additionally, in February, the National Medical Products Administration in China also approved the MediBeacon TGFR monitor and TGFR sensor for the assessment of kidney functions in patients with normal or impaired renal functions. With FDA approval and in order to maximize shareholder value, MediBeacon has engaged Jefferies Financial Group as their investment banker. The company is currently in discussions with medical device and pharmaceutical companies. Turning to R2. R2 broke sales records in both North America and worldwide, delivering record top line revenues of almost $10 million for the full year 2024 which is a 197% increase over 2023 of $3.3 million led by system unit sales in North America which experienced 238% growth for the full year, year-over-year versus 2023. R2 continues its global expansion into new markets with new distributor partnerships signed in Australia and several companies in South America. Combined worldwide system unit sales grew 113% in the fourth quarter of 2024 compared to fourth quarter of 2023 and grew 182% for the full year and 2024 year-over-year versus 2023. We believe achieving almost $10 million of revenue is a significant milestone as we explore strategic alternatives for this business. In addition to its massive success during 2024, R2 has also secured a robust order backlog of over 75 systems worldwide at the end of the year. Glacial providers continue to see incredible results using glacial skin devices, evidenced by the growth in patients treated by 170% and an increase in average monthly utilization of 49% per-glacial provider over the same period last year. Glacial brand awareness has a significant impact on sales and has exceeded industry competitor growth by 1,694%. R2 experienced year-over-year growth of 1,659% increase in social mentions, 618% in website users and 132% in patient provider searches. With new distributor relationships secured in the U.K. and in France in 2025, R2 continues to expand its global reach. The dramatically increasing results of 2024 highlight our strong momentum in a market with vast potential. Having surpassed 700 shipments worldwide, we are extremely pleased with both our success and strong foundation built in 2024. While R2 has enjoyed recent success in 2024, the company has yet to really scratch the surface in terms of market penetration. We believe the opportunity for R2 is massive and we believe the momentum and the runway is big ahead. We are encouraged by recent milestones at these businesses and work to execute on our strategy to address the company's capital structure. Moving to infrastructure; DBM Global achieved revenues to $225.7 million and adjusted EBITDA of $17.4 million in the fourth quarter. During the quarter, DBM has seen gross margin improvement year-over-year of approximately 180 basis points to 18.2%, while fourth quarter adjusted EBITDA margins compressed by 80 basis points, to 7.7% year-over-year. DBM's results came in slightly lower than our expectations as projects were pushed out in the second half of the year which impacted our overall results. The delay of awards in the back half of 2024 has posed a challenge to the start of 2025, potentially leading to a year comparable to 2024. However, the surge of recent awards to begin 2025 has provided DBM with the opportunity to outperform 2024. Our backlog levels held steady and we ended the year with adjusted backlog of $1.1 billion. In fact, the first quarter of 2025, DBM has added a few sizable projects that total over $500 million to adjusted backlog across our companies and we remain very optimistic on the pipeline. Additionally, we are increasingly excited about our ability to capitalize on opportunities driven by growth in cloud computing and AI requiring substantial investments in data centers and power infrastructure with a strong track record and strategic vision and with the best management team in the business, we are confident that DBMG's management team is well equipped to capitalize on these opportunities and drive continued success. Given the continuing unpredictability in the political landscape, there remains a cautious stance towards the cost of construction materials, especially concerning tariffs and inflation. We are closely following tariff announcements and have developed strategies to lessen the impact. At this juncture, we do not anticipate any material impact on our financials and we'll continue to assess and look for ways to minimize potential impacts. DBM is well positioned in 2025 with a strong backlog and robust pipeline. And finally, Spectrum. Spectrum delivered a strong year, both financially and operationally. Fourth quarter and full year 2024 top line grew 19.3% and 14.2%, respectively, year-over-year. Fourth quarter adjusted EBITDA of $2.3 million more than doubled compared to last year and full year 2024 adjusted EBITDA of $7.1 million saw a significant improvement compared to $2 million in 2023. Spectrum made significant strides in rightsizing the business over the last 12 to 18 months which has directly benefited our financial performance. The improvement in better quality network launches has helped drive outstanding improvement in financial performance. Of note, the successful new network launches of free TVs, new networks and Fubo Sports underscore the network [indiscernible] in 2024. The launch of Fubo Sports, a marquee network in the fourth quarter is another example of the continued improvement in the quality of the networks. Additionally, broadcast is witnessing numerous over-the-air network opportunities for 2025 and signed a contract with Marathon Ventures to distribute new vibrant over-the-air networks, Nosey and Confess which we placed on the air the week of March 17. We are likely to see new entrants into the OTA market throughout the rest of the year as more streaming networks are considering expanding to over-the-air coverage. Broadcast also continues to make progress with strategic partnerships in pursuit of new spectrum-related revenue opportunities. With our ATSC 3.0 converted stations, we are actively pursuing commercial opportunities together with a major mobile network operator. Our efforts have been gaining traction and we are expecting to see revenues from this exciting new technology later this year. We will have more information in the next few months on this. We are making excellent progress as it relates to ATSC 3.0 light housing. In fact, we commenced installation of the Dallas lighthouse station for PBS station, KERA. As we think about longer-term opportunities with the change in administration, the new chair of the FCC has talked about value-creating opportunities for OTA spectrum that include a new incentive option, considerable deregulation in the broadcast TV industry and opportunities to repurpose our valuable UHF spectrum. Given our favorable view of 5G broadcasting technology and its potential to transform low-power broadcasting, last Friday, we filed a petition with the SEC proposing that low-powered television stations be allowed to use the 5G broadcast transmission standard on a voluntary basis. We are simply asking the FCC to approve the technology as an alternative for low powers alongside the already approved standards like ATSC 3.0. As we have already seen with our experimental 5G broadcast license, the technology allows a low-powered TV station to transmit a single 5G signal to its entire service area which could be received by compatible mobile phones. Low power stations utilizing 5G broadcast would be well positioned to deliver numerous benefits across multiple services, including enhanced programming, data casting, Internet connectivity and public safety. Lastly, our total consolidated debt decreased by $54.5 million compared to last year which was mostly a function of improved working capital returning to the business at DBMG. As a reminder, our strategic vision for the business anchors upon maximizing the value of these assets. Given the recent success in our businesses, we are very encouraged in our ability to execute on behalf of shareholders. With that, I'll turn it over to Mike for a review of our financials and our capital structure.
Mike Sena: Thanks, Paul. Consolidated total revenue for the fourth quarter of 2024 was $236.6 million, a decrease of 34.5% compared to $361 million in the prior year period. The decrease is primarily driven by our Infrastructure segment which was partially offset by increases at our Life Sciences and Spectrum segments. Net loss attributable to common stockholders and participating preferred stockholders for the fourth quarter of 2024 was $16.9 million or $1.29 per fully diluted share compared to a net loss of $9.6 million or $1.22 per fully diluted share in the prior year period which has been retroactively adjusted to reflect the 1 for 10 [ph] reverse stock split effected on August 8, 2024. Total adjusted EBITDA was $15 million for the fourth quarter of 2024, a decrease from $21.5 million in the prior year period. The decrease is driven by the Infrastructure segment which is partially offset by our Life Sciences spectrum and non-operating corporate segments. At Infrastructure, revenue decreased 36.2% to $225.7 million from $353.8 million in the prior year quarter. The decrease was primarily driven by the timing and size of projects at Banker's Steel and DBMG's commercial structural steel fabrication and erection business. Both of which had increased activity in the comparable period on certain large commercial construction projects that have since been completed. This was partially offset by an increase at the industrial, maintenance and repair business as a result of an increase in project work. Infrastructure adjusted EBITDA for the fourth quarter of 2024 decreased to $17.4 million from $30 million in the prior year period. The decrease was driven by lower revenue and gross margins at Banker's Steel and lower revenue, partially offset by an increase in gross margins at DBMG's commercial, structural steel fabrication and erection business, due to the timing of projects as well as lower revenue and gross margins at the construction modeling and detail business. This was partially offset by an increase in revenue and gross margins at the industrial, maintenance and repair business and a decrease in recurring SG&A expenses, primarily as a result of the timing of compensation-related expenses. As of December 31, 2024, reported backlog was $1 billion and adjusted backlog which takes into consideration awarded but not yet signed contracts, was $1.1 billion, compared to reported backlog of $1.1 billion and adjusted backlog of $1.2 billion at the end of 2023. DBMG ended the quarter with $144.7 million in principal amount of debt which is a decrease of $32.1 million from the third quarter, primarily driven by a decrease in the credit line and normal debt amortization payments. Since this time a year ago, DBMG has been able to reduce its debt obligations through line reduction as investor working capital has continued to return to the business, a trend that began at the end of 2023. As a reminder, DBMG has reduced its outstanding debt by approximately $54.1 million during 2024. At Life Sciences, revenue increased 173.3% to $4.1 million from $1.5 million in the prior year quarter. The increase in revenue was attributable to R2 primarily due to an increase in glacial FX systems and consumable sales in North America and worldwide as well as an increase in Glacial Rx systems in North America which is partially offset by a decrease in glacial Rx systems outside of the U.S. Life Sciences adjusted EBITDA losses decreased for the quarter which is primarily due to fewer equity method losses recognized from our investment in MediBeacon and an increase in gross profit at R2 driven by the increase in revenue which is partially offset by a slight increase in selling costs at R2. At Spectrum, revenue was $6.8 million, an increase of $1.1 million compared to the fourth quarter of 2023 primarily driven by network launches and expanded coverage with existing customers which was partially offset by the termination of a number of smaller networks and individual markets subsequent to the comparable period. Spectrum reported adjusted EBITDA for the fourth quarter increased to $2.3 million from $1.1 million in the prior year quarter. The increase was primarily due to an increase in revenue. It's worth noting Spectrum's third quarter results on the top line and adjusted EBITDA are generally higher than the previous 3 quarters due to seasonal advertising and revenue shares in the fourth quarter, a trend that is expected to continue in 2025. Non-operating corporate adjusted EBITDA losses were $2.2 million for the fourth quarter of 2024 and a $300,000 improvement from the fourth quarter of 2023. For the full year 2024, adjusted EBITDA losses were $10.4 million, an improvement of $3.1 million from 2023. The decrease in losses was driven by an unrepeated severance expense in the prior year, a decrease in salaries and benefits from the reduced head count, decreases in accounting and consulting fees and a decrease in rent expense primarily as a result of the termination of leases in the current year. At the end of the fourth quarter, the company had $48.8 million of cash and cash equivalents, excluding restricted cash compared to $80.8 million as of December 31, 2023. On a stand-alone basis, as of December 31, 2024, our non-operating corporate segment had cash and cash equivalents of $13.8 million compared to cash and cash equivalents of $2.5 million at the end of '23. As of December 31, 2024, INNOVATE had total principal outstanding indebtedness of $668.3 million down $54.5 million from $722.8 million at the end of 2023, driven by the decrease in Infrastructure's outstanding debt, a decrease in corporate debt as a result of the partial redemption of the unsecured notes and a partial convertible note repurchase which was partially offset by R2's extension with Lancer Capital which capitalized interest into the principal balance. With that, operator, we'd now like to open up the call for questions.
Operator: [Operator Instructions] And our first question is from the line of Brian Charles with R.W. Pressprich.
Brian Charles: I got a couple. First off, congratulations on the FDA approval of MediBeacon. And you did mention you've engaged Jefferies to help you explore options on maybe monetizing part or all of that business. Can I ask like how deep and do discussions are -- is Jefferies right now? Is this a relatively recent development? Or is this something they've been retain since they right after the FDA approval. Sorry, can you all hear me?
Mike Sena: Brian, thanks for the question. So back in the end of '23, we had indicated that we had hired Bankers. We've been working on this process for some time, FDA approval was pretty critical and we're happy to finally receive the long-awaited FDA approval. It's been a lot of time and effort since our original investment back in 2015. And we're in discussions with medical device and pharmaceutical companies at this point.
Brian Charles: Okay, fair enough. I imagine you can't go into too much detail but just throwing it out there. I know when Huadong injected equity, it was at a $400 million valuation. Is that fair to say that's still the context of discussions you're holding with people?
Mike Sena: Well, as you know, that deal was done back in 2019 as a milestone. So that was a commitment that was made back in 2019. And so what I'd say is we're going to have to see how the process pans out but we're happy that we had that arrangement in the first place but it was some valuation point that was set back in 2019.
Brian Charles: Yes, fair enough. And just one follow-up in general, I guess, across DBM Global. To what extent -- like should I think about the tariffs or potential kind of clouding is coming from uncertainty around tariffs. A) Would that impact any discussions or delay any kind of resolution about MediBeacon because I'm not sure exactly to the extent to which potential tariffs could impact MediBeacon business model or at least uncertainty around tariffs.
Mike Sena: We're -- it's still, I think the initial rollout in the approval today is in the U.S. And so I know we're working on a subsequent stream in China. But we don't think that, that -- I guess at this time, we don't think that there's that big of an impact from it.
Brian Charles: Yes, fair enough. And then --
Mike Sena: It's a little early. It's just early in the process. That's all for...
Brian Charles: I really understand. I guess I just had to ask -- but secondly, any thoughts on to what extent the -- this uncertainty might impact the adjusted backlog at DBM Global. Would it impact margins or could it impact volume?
Mike Sena: Well, what I'd say is that typically, when DBM goes out and bids their projects, they are locking in prices with the mills. And so we tend to not take risk on the steel prices and that ends up getting passed along. So I don't see it as an issue from a backlog perspective at this point. And right now, Rustin and the team are kind of saying, they don't see a big impact but they're continuing to assess it.
Operator: [Operator Instructions] Thank you. At this time, I'll turn the floor back to management for further remarks.
Mike Sena: Yes, I want to thank everybody for their time, effort and support. Hopefully, one of these asset potential sales will hit here very soon. We look forward to updating you the minute that happens. Appreciate again, all your support. Thank you.
Operator: This will conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.